Operator: Good afternoon. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Vacasa Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Ryan Domyancic, Head of Investor Relations, you may begin your conference.
Ryan Domyancic: Good afternoon, everyone, and thanks for joining us today for Vacasa’s third quarter 2022 earnings call. I’m pleased to be joined today by CEO, Rob Greyber; and CFO, Jamie Cohen. Before we begin, let me cover a few administrative details. This call contains information that speaks only as of the date of today’s live broadcast and redistribution of this broadcast is prohibited. We have posted a Shareholder Letter on the IR section of our website at investors.vacasa.com that will be referenced by our speakers. Comments made during this conference call and in our Shareholder Letter may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, projections, strategies, targets, estimates, objectives, events, conditions and financial performance. We caution you that various factors could cause actual results to differ from these anticipated. For additional information concerning these risks and uncertainties, please read the forward-looking statements section in the Shareholder Letter we issued earlier today and the forward-looking statements in risk sections or SEC filings. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial results, including a reconciliation of non-GAAP results to the most directly comparable GAAP financial measures may be found in our Shareholder Letter. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. And now, I’d like to hand the call over to Rob. Rob?
Rob Greyber: Good afternoon, everyone, and thank you for joining us. It’s a pleasure to speak with you all for the first time as the new Chief Executive Officer of Vacasa. Since I joined in September, I’ve immersed myself in the business, spoken directly with homeowners and guests about their experiences with Vacasa and met hundreds of team members from across the country in both our corporate and field operations organizations. Most importantly, I’ve asked a ton of questions and taken time to listen fully to understand the opportunities that lie ahead for our industry, our company and all our stakeholders, homeowners, guests, employees, communities and stockholders alike.Before we get too far along, I’d like to take a moment to thank our local team members in Florida and the Southeastern United States that supported Vacasa’s homeowners, guests and communities, in addition to their own loved ones during Hurricane Ian. I was in constant communication with teams on the ground when the storm made landfall back in September. When the worst of the storm had passed, there was an overwhelming feeling of relief and gratitude when I heard all our employees were safe. We are hard at work getting those homes affected by the storm back online on behalf of our homeowners. I can’t express how thankful I am to all of those colleagues involved in the process. On the call today, I want to share why I joined Vacasa and the tremendous opportunity ahead of us. Then I will offer my high-level priorities for the business. Finally, I will turn it over to Jamie to review our third quarter results and discuss our outlook. I joined Vacasa with more than 20 years of experience in the travel industry and an unrelenting passion for technology. After starting my career workers and investors, launched Hotwire, now an Expedia Group company. Later, I joined Expedia myself, first, focusing on the strategy and operations of Expedia’s air business before moving to Egencia, the corporate travel division of Expedia. I led Egencia and served on Expedia Group’s senior leadership team for more than 10 years. Under my leadership, Egencia’s revenue increased more than 6-fold and EBITDA scaled from breakeven to over $100 million annually. In vacation rentals today, I see a confluence similar to what I saw in the early days of online travel, business travel and what has played out across so many categories. There is a large dynamic market, a hard problem best solved with technology and competitors who fundamentally don’t or can’t use technology to learn and improve. Currently, Vacasa has just a single-digit share of more than 1.5 million whole homes listed on the major distribution channels in the United States. Zooming out, there are more than 5 million second homes in the United States and the easier we can make it for a homeowner to rent their second home, the faster we can bring those second homes on to our platform. There are numerous ways to address the opportunity within short-term rentals, but I believe Vacasa’s technology-first focus, combined with its commission-based business model positions us for success. We generate revenue by earning a commission on the rental income we deliver to our homeowners and collecting fees from guests. It’s an asset-light approach that doesn’t rely on leasing vacation homes and holding liabilities for future payments on our balance sheet. The commission-based business model directly aligns our incentives with homeowners and provides us with operational flexibility. The unit economics of the business model are the foundation of our path to adjusted EBITDA profitability for the full year 2023 and beyond. We primarily add homes to our platform through the individual approach, which is a direct sales model, where Vacasa’s sales representatives sign up individual homeowners. This approach has a target LTV to CAC range of 4x to 5x, and we remain above the high end of that range with the cost per new home or the CAC component remaining relatively steady through the prior 3 quarters. Vacasa is the leader in a massive growing and dynamic category. I believe we have the right business model with attractive unit economics to support strong adjusted EBITDA generation over the medium to long term as we scale the platform. We know that to efficiently and effectively manage vacation rentals at scale requires software, data, insights and dedicated team members, all of which are bound at Vacasa. For these reasons, we maintain a strong position in our industry, and I believe we will compound our advantage over time. I have every confidence that we can and will continue to win in this space, yet in the near term and as our results and guidance reported today demonstrate, we need to sharpen our focus and execution. I’ve only been with the business for a few months, but I believe I’ve learned enough to share my initial priorities at a high level. First, we need to improve our execution in local market and customer support functions. To refine and improve our approach in these areas, I’ve appointed John Banczak as Chief Operating Officer. During his 9 years serving as the CEO of TurnKey, John gained significant experience managing local market operations and designing associated technology tools. I’m confident that, in his new role, John can bring that experience to drive efficient, effective housekeeping, field operations and customer support, while delivering an unmatched homeowner and guest experience. Second, we need to unlock the full potential of the individual sales approach. The individual sales approach is truly unique in our industry and is designed to enable Vacasa to grow in a sustainable and profitable manner. While there will always be the need to use the portfolio program tactically, the bulk of our home growth will come from these sales representatives and the individual approach. Back in August, Vacasa updated you on the launch of our new CRM system for the sales team. This was a necessary investment for the business, and we remain excited about the long-term benefits we expect to realize. But the challenges from the implementation are lasting longer than planned, and as a result, we aren’t realizing the expected productivity gains. In response, I’ve asked Craig Smith to step into the role of Chief Commercial Officer, where his primary focus will be on adding new homes to the platform. In his role, Craig will help our sales team realize the benefits from our CRM investment and further optimize the individual sales process. Third, Vacasa’s product platform is the cornerstone of success and scale in the market today. I want to be as close to the team as possible in the future, building my understanding of the key processes, decisions and priorities going forward. To help me do that and to ensure we’re working on the right opportunities with the right focus in the right way, I am leading the product team while we recruit a new senior product leader at Vacasa. Finally, I will always aim to make sure we are continuously prioritizing our business goals and initiatives and are allocating our resources appropriately to drive profitable growth. Following an initial review of the business, we made the difficult decision to initiate a workforce reduction in October. In total, about 280 team members were affected primarily in our corporate functions. We are grateful to every one of our impacted colleagues for their contributions to Vacasa and offered impacted employees severance and access to career placement services. Going forward, we will continue to invest in resources, including people and will size those investments as appropriate. Over the past 9 weeks at Vacasa, I’ve only become more energized and excited about our potential. We already have immense scale with a footprint across over 400 vacation destinations that would take considerable time and capital to replicate. While I don’t have all the answers, I am confident that we are taking the right initial steps to allow the business to realize its full potential. One last comment. I’d like to welcome Rachel Gonzalez as a Board observer. Rachel comes to Vacasa with public leadership experience across industries from travel technology to retail service and will bring a valued perspective to the Board. We intend to seek stockholder approval to expand the size of our Board and to elect Rachel as an Independent Director at our next Annual Meeting of Stockholders. I’d now like to turn the call over to Jamie to review our third quarter financial results and outlook.
Jamie Cohen: Thanks, Rob. Our third quarter revenue finished ahead of our guidance. But as Rob alluded to in his remarks, we experienced higher-than-expected local market and customer support costs during the quarter. You see this in our cost of revenue and operations and support expenses causing third quarter adjusted EBITDA to come in below our guidance. Given the booking strength we had experienced over the prior 2 years, our operations teams were staffed for high levels of demand, trying to meet and exceed service levels in a high-growth environment. Demand was strong during the third quarter, but we were over-resourced in several areas, and that caused costs to exceed our forecast. Furthermore, heading into the third quarter, there were a number of operational efficiency and optimization initiatives the team was working through. We believe that these would reduce our operational costs largely in local markets around the way we staff labor. As the quarter progressed, we weren’t able to fully realize the benefits from these initiatives, which led to higher cost of revenue and operations and support expenses versus our forecast. We believe that the cost overruns largely deal with our processes and approach to managing our operations. Based on where we sit today, we believe these local market and customer support costs are fixable, but not yet fixed and will take time to fully address. To reiterate what Rob said, we are highly focused on improving our execution and operations. With that, let’s review our third quarter results. Unless noted otherwise, I will be comparing our third quarter results to the third quarter of 2021, and I’ll be referencing the operating expense line, excluding the impact of stock-based compensation and business combination costs, which you can find outlined in our Shareholder Letter. Gross booking value, which is the combination of nights sold and gross booking value per night sold reached $969 million in the third quarter, up 25% year-over-year. Nights sold were $2.1 million in the third quarter, up 12% year-over-year, with the increase primarily driven by the addition of new homes to the platform. Gross booking value per night sold reached $471 in the third quarter, up 12% year-over-year. Remember, there is a strong relationship between nights sold and gross booking value per night sold, and it’s difficult to look at either in isolation. Our revenue management algorithms and team are constantly evaluating the trade-off between price and occupancy to optimize the mix of nights sold and gross booking value per night sold with the goal of optimizing homeowner income. During the third quarter, the supply of homes on our platform outpaced the nights sold growth. And similar to prior quarters, we priced those nights at a higher rate. Revenue, which consists primarily of our commission on the rents we generate for homeowners and the fees we collect from guests, was $412 million in the third quarter, up 25% year-over-year and above our guidance range of $385 million to $395 million. Now turning to our expenses. Cost of revenue was 42% of revenue in the third quarter, consistent with the same period last year. Operations and support expenses grew 37% year-over-year and increased by 160 basis points as a percentage of revenue year-over-year. Both cost of revenue and operations and support expenses were higher than our expectations relative to revenue for the reasons I discussed a few minutes ago and were the primary drivers of the adjusted EBITDA shortfall relative to guidance. Technology and development expenses were up 42% year-over-year as we’ve grown our software infrastructure and engineering and product teams. Sales and marketing expenses were up 49% year-over-year, with the increase due to our significantly larger sales force compared to a year ago and, in turn, greater homeowner-focused advertising spend to drive more leads for our larger sales force. Sales and marketing expense is also higher due to higher fees paid to distribution partners, driven by the growth of gross booking value. General and administrative expenses were up 44% year-over-year, largely due to hiring to support the increasing scale of our business and to meet the increased compliance and reporting requirements associated with our operations as a public company. On a sequential basis, general and administrative expenses decreased slightly. Adjusted EBITDA was $46 million for the third quarter, below our guidance range of $55 million to $60 million, with the shortfall largely due to higher cost of revenue and operations and support expenses, relative to our expectations. In the third quarter, we onboarded 7 portfolios for a total consideration of $3 million. This was consistent with the expectations we outlined in August that we expected to spend less on new portfolios in the second half of 2022, relative to the first half. Now a few forward-looking comments. We previously outlined that we expected homes on our platform to increase by about 30% during 2022. Based on our latest pacing, we now expect home growth on our platform to be nearly 20% for the full year and we’ll provide a year-end home count on our fourth quarter earnings call. We mentioned last quarter [Technical Difficulty] portfolios we onboarded in the second quarter tended to be higher performing on a revenue per home basis, resulting in a higher purchase price per home, but the average multiple paid was in line with our valuation targets. Bringing on fewer but higher revenue-generating homes is a headwind to the approximately 30% home growth target. Despite the headwind, we increased our internal expectations for the individual approach, based on productivity gains we expected to realize from the CRM implementation that haven’t yet materialized. For guidance, we expect fourth quarter revenue to be in the range of $195 million to $215 million. Our fourth quarter revenue expectations are lower than the implied fourth quarter guidance we issued in August. We are experiencing some softness in variability in guest bookings that began after the strong summer season. The weakness was noticeable in September and has become more pronounced in the fourth quarter. We expect fourth quarter adjusted EBITDA to be in the range of negative $75 million to negative $65 million. Again, this is lower than the implied expectations we set back in August due to lower revenue, but it is also a function of the higher operational costs continuing into the fourth quarter and not fully realizing the efficiencies from the operational initiatives. Finally, while we aren’t issuing formal 2023 guidance at this point, I want to share a few high-level thoughts on next year. Year-to-date, we’ve spent over $150 million of cash on the portfolio program between new purchases and deferred payments with additional spends occurring in the fourth quarter. We’re thrilled with the quality of portfolios we’ve brought on board over the past year, but it was a bit of a pull-forward of investment relative to our expectations of $100 million annually. As we think about the year ahead, we expect to meaningfully reduce the amount of capital we are allocating to the portfolio program. We will continue to evaluate all portfolio opportunities, but given the LTV to CAC on the individual approach, we are raising the bar on return expectations for portfolio deals and will prioritize new market entry. Additionally, with the recent softness in variability in bookings and the uncertain macroeconomic environment, there is potential for average gross booking value per home to decline year-over-year in 2023 from the recent record levels. On the expense side, we aim to strike a balance between growth and profitability and expect to closely manage our discretionary investments to achieve adjusted EBITDA profitability in 2023, even against a wide range of macroeconomic outcomes. With that, Rob and I will take your questions. Operator, please open up the line.
Operator: [Operator Instructions] Your first question comes from the line of Doug Anmuth from JPMorgan.
Dae Lee: This is Dae on for Doug. I have 2. First one, so on your comments on softness and variability in gross bookings that began in September and into 4Q. I’m going to assume some of the drivers of that is Hurricane Ian, but because it impact that a little bit more, what else could be driving that? And is this something that you’re seeing across all your distribution channels?
Jamie Cohen: Yes, absolutely, thank you. So from the weakness, you’re right. The weakness is relatively new. It kind of began towards the end of the third quarter, particularly with the forward-looking book or the forward-advanced bookings, I’m seeing some variability in our booking trends that have deviated from previous years. So prior to that, the booking curves for our fourth quarter were really following a pretty predictable path. But over the last 5 weeks, we’ve seen some more volatility in those curves. We’re in the midst of a big booking period for November right now, despite it being November 9, we still have the largest booking days for December ahead of us.In terms of drivers of the weakness, it’s tough to identify exactly what the driver is. As we think about possibilities, consumer demand or macro environment comes to mind and leads us to believe, given kind of overall commentary around the travel sector, that it is primarily related to our category and the footprint that we have in domestic leisure-focused vacation rental markets, but hard to pinpoint, obviously, exactly what the cause is at this point in time. To your second question, we are seeing this across all of the channels. We’re not seeing any one in particular that’s deviating.
Operator: Your next question comes from the line of Bernie McTernan from Needham & Company.
Bernie McTernan: Maybe to start, just the lack of CRM gains in the quarter, is that just -- is that the sales force not using the technology or a late rollout? Just trying to understand maybe how the individual approach could be even more effective in the fourth quarter or in ‘23?
Jamie Cohen: Yes. So just to kind of break down the CRM, there’s a couple of pieces. We transitioned to the CRM during the second quarter. As we discussed in our second quarter call and as we expected, there were some growing pains, getting the sales force trained on the new systems and processes, getting all of our data over from the old system into the new system. We resolved most of these issues over the summer. Everybody is using the new system. And coming into the third quarter, we expected the productivity to actually ramp back up to, not only to the pre-CRM productivity levels, but actually be a step higher given the new tools. So, at this point, we’re back at about that pre-CRM transition productivity levels in line with the productivity levels we had originally expected for the year, but we just haven’t seen that productivity boost above those levels that we had anticipated. We do believe that those are still to come. There is just additional work to continue to build out the technology systems and as Rob said in his remarks, that’s what Craig is going to be doing. As we think about kind of the unit growth, we’ve generally said that we expect 75% of our gross adds to come from individual, and 25% to come through portfolio. We did actually spend a bit more on the portfolio in the first half of the year and there were higher revenue per home, and also consistent multiples of what we would expect. But as we mentioned that put some downward pressure on our home count. So, that was a headwind. And as I mentioned, we expected that individual would be able to make up that gap. So, individual is pretty much in line with where we had originally anticipated, so wasn’t able to fully close that gap. So, we’re still above that 4 to 5x target LTV to CAC. We’re pleased with the performance of the individual and expect to keep investing against that. But we do believe that there is continued upside there.
Bernie McTernan: Okay. And then I know you’re not providing ‘23 guidance, but is there any -- should we think about any deviation from the original investor deck in terms of addition to supply for next year?
Jamie Cohen: Yes. So, we mentioned that we expect to finish 2022 with home growth near 20%. So, when you think about what we said for next year, we’ll be meaningfully reducing spend on the portfolio program since we had a little bit of pull forward there. And we’re making sure that we reach adjusted EBITDA profitability so that could impact how fast we grow our sales force. So, given those 2 dynamics, we believe that our home growth rate would be below the ‘22 levels. How much lower, it’s going to depend on overall business performance, how fast we can recognize these CRM productivity gains and the overall economic environment.
Operator: Your next question comes from the line of Justin Patterson from KeyBanc.
Justin Patterson: Rob, I wanted to dive a little bit more into just some of your focus on improving local market and customer support functions. I know cleaning fees, service fees have been a pretty short point throughout the alternative accommodations industry over the past year or so. So, I would love to hear about how you’re thinking about, a, just containing costs there and then b, increasing turn times for people in local markets?
Jamie Cohen: So, I can -- I’ll jump and give Rob the 60 days in, and then I’ll let him add on, Justin, but give him a little bit of air cover given he’s brand new. In terms of the overall kind of fees, we are revenue managing the overall ecosystem and making sure that we can maximize our owner income, as well as the cost of revenue. So, we’re making sure that we have cleaning and service fees that make sense are not out of line with market, but at the same time, we aim to make sure that we can cover our costs. So, in terms of the local market execution and cost, we talked about that. We are in the process of implementing a number of initiatives that really address how we manage our labor in local markets, driving efficiencies in various tasks and optimizing the number of hours or team members that are needed to staff against reservations or units. We plan for these to manifest in the back half of the year and kind of incrementally recognize those benefits over the back half and going forward. Taking us a little bit longer than anticipated, but there is a significant amount of focus and effort on local market operations, cost efficiencies. Rob, anything else you want to add?
Rob Greyber: No. I think that’s great, Jamie.
Operator: Your next question comes from the line of Jed Kelly from Oppenheimer.
Jed Kelly: Just a couple if I could. Just one going back to the adding inventory and forgive me if this was mentioned of managing multiple calls. Are you seeing anything from like a competitive environment or higher -- or is there anything from like higher interest rates? I would think higher interest rates would increase your opportunity. And then, Rob, I know you’re new, but is there anything you and Jamie are planning on fundamentally changing with Vacasa?
Jamie Cohen: So, I’ll take the first half and then let Rob take the second. Thanks, Jed. So, in terms of competitive, we’re not seeing anything different, nothing material on the competitive side that’s causing anything on the unit growth. In terms of interest rates, I’d say, it’s too early to tell either way. On one hand, churn is -- homes for sale is the largest driver of our churn, which you would think could be favorable. But on the other hand, when fewer homes are changing hands, there’s not the opportunity to also change the vacation manager of those homes. So, I think we still need some time to see how those 2 forces net out. But really haven’t seen anything clear obvious one way or the other. But generally, given how big the TAM is more than 1.5 million homes on channel today, 5 million in the U.S., we just don’t believe that the macro would have a significant impact either direction given the size of the price and the share -- the very small share that we have today.
Rob Greyber: And Jed, on your second question, thanks very much. Just I’ve been on Board for about 9 weeks now, and continue to believe that Vacasa has an enormous opportunity ahead of it. I mentioned in our remarks, I’d just love to set up the business we have to be a great scale, and we’re multiples larger than our closest peers. We have an opportunity to use technology to solve a hard problem in the industry and there’s players we’re going against that either won’t or can’t or just don’t compete in the technology game. So, I think when I look at situations like this from the outset, the advantage of technology isn’t apparent on the surface, but you’ve just seen it time and time again, it compounds over time and results in just great businesses that you can really allocate capital behind. And I’ve seen that play out in online travel. I’ve seen it play out in corporate travel and in other sectors as well. At the same time, as I mentioned, there’s clearly a lot of work that we have to do. The whole leadership team is focused on it. We have to improve our execution and that means sharpening our focus. I’ve outlined some of the initial changes we’ve made from an organizational perspective. That’s really about putting people in roles where they have strong histories of success. And that’s -- and it’s still going to be a lot of work. The team knows it won’t be easy and it will take time, but it’s going to come down to execution. So, I’m sitting here today excited about what’s ahead, looking forward to sharing more of our detailed plans after spending more time with the business, and we get into our fourth quarter earnings next year.
Jed Kelly: Great. And then just one more, I know last 2 years, I mean, the vacation rental had -- it’s been an unbelievable 2 years for RevPAR. I guess, just looking ahead into next year, it seems like you could have ADR compression. So, just can you talk about how you’re thinking of managing RevPAR between and discussion with your owners and how you’re thinking of managing RevPAR between ADRs and occupancy and with your revenue management systems?
Jamie Cohen: Yes, Jed, it’s a great question. We’ve obviously seen record levels of both occupancy and gross booking value per night or ADR. As we said, it’s early to tell. We have very little insight -- some bookings on the books for 2023. We’re actively revenue managing and trying to get bookings in, but I’d say it’s too early to call for kind of the overall broader ecosystem. But our revenue management algorithms and teams are constantly looking to manage that trade-off between occupancy and ADR. I think you’ve obviously seen ADR take the front seat in the last couple of years. So, there is a possibility that we shipped more towards kind of driving on the occupancy side. But again, we want to optimize overall for our homeowners’ income and for our revenue.
Operator: Your next question comes from the line of Eric Sheridan from Goldman Sachs.
Eric Sheridan: I just wanted to go back and maybe double click on some of the points that have already been made on the call. In terms of variability you’re seeing in forward advanced bookings over the last 5 weeks, is that popping up in terms of cancellation rates? Is it elements of the booking window being extended out? Is it elements of less gross bookings overall? And in particular, are there any geographic or type of stays that you’re seeing that variability is being more pronounced in that? That’d be number one. And then just coming back to the CRM efficiency gains. Can you just give us a little bit better sense of what needs to be done on the execution side to sort of capture those gains? And should we be thinking about that in terms of the next 1 to 2 quarters? Or is this a process that could play out over the next 6 to 12 months?
Jamie Cohen: Yes, absolutely. Thanks for the question, Eric. So, in terms of the variability, I think it’s more about the bookings as opposed to the cancellation rates. We’re not seeing any increased meaningful changes in cancellation rates that are notable. It’s more just the booking patterns of new bookings coming on. And I think some of that gets into just there is inherent -- there has been more variability in that kind of closer in booking window as we look at -- where we sit today in October, as we look in -- sorry, as we sit today and we look at November and December. So, just kind of some volatility and what we’re seeing there. Nothing that I would note regarding geo or types of homes that really jumps out. We’re looking at this kind of across the portfolio. Obviously, doing everything we can to optimize our revenue management stance and drive additional bookings and value for our owners. In terms of the CRM and what needs to be done, look, some of it is the first step of the CRM is making sure that we’re at parity with what we had previously and that means as we mentioned getting people trained, getting all the data ported over. And then there is opportunities for additional functionality, additional insights in terms of how we manage campaigns and marketing and lead allocation that just taking a little bit longer to manifest as we develop within the system. And so, I’d say it’s something that we believe that there is opportunity as we look out kind of incrementally over time, it’s difficult to say exactly how quickly that manifests but we do believe that there is material opportunity there.
Operator: Your next question comes from the line of Nick Jones from JMP Securities.
Nick Jones: I guess, maybe taking a step back as kind of fears of recession continue to increase heading into next year. I think there has been some comments out there that that could actually add more supply to the ecosystem as people are looking to maybe augment their income. How do you see that kind of playing out? Is that kind of a likely outcome? And then does that exacerbate maybe ADR declines into next year?
Jamie Cohen: Yes, it’s a great question. I’d say, it’s still early days in terms of how the macro environment what actually manifests. But I think in theory, what we’ve said is, there is kind of a few aspects of that. One is, reduced churn, as we mentioned, home selling is the greatest -- the largest driver of churn from our platform. So, that is potentially a benefit to us. I think that there is definitely a possibility where we see that there is a greater willingness of owners to rent their home, maybe those that haven’t previously done so because they want that additional income. I think, generally speaking, this has been an industry that has been extremely supply constrained. And there has been a lot of consumer demand. So, will that have a significant and meaningful impact on ADRs, it’s tough to say. I mean, obviously, you’re going to have some more supply. But generally speaking, it has been a very supply constrained ecosystem. So, I think that that additional supply is welcomed across the industry and we look forward to bringing on more homes on to our platform, and more owners on to our platform.
Nick Jones: Great. And then, I guess, along the same vein here. I mean, do you have a sense -- are you able to share kind of the mix of the properties Vacasa is managing that are kind of fully dedicated to be short-term rentals versus someone’s vacation homes that they’re kind of putting up periodically? And I guess, why I’m asking the question is around has home prices impacted kind of the level of ADRs some of the owners are actually willing to go -- like how low are they willing to go because they maybe purchase some of these homes at elevated prices as we see the housing market kind of revert, is that a dynamic you’re seeing play out at all?
Jamie Cohen: Got it. Yes. I’d say that we do have a mix of some investors, I’d say, a majority are going to be people who own a second home and they might vacation there a few times of the year, but it’s not their primary residence. So, we’re still going to get the majority of nights available to us to sell. So, I don’t know that we’re seeing anything significant or meaningful yet in owner behavior as it relates to how frequently they are occupying their own homes. But again, I think time will tell on that is another potential variable where perhaps we see some upside with people preferring to get income from those nights from that July 4 weekend as opposed to occupying the home themselves.
Operator: Your next question comes from the line of Lee Horowitz from Deutsche Bank.
Lee Horowitz: Thanks for the color you’ve given on both supply and ADRs next year. But at a high level, how are you thinking where occupancy rates may go next year? Is the expectation that this may continue to decline year-on-year, given some of the softness that you’re currently seeing across the industry? Are you thinking that they could be a bit more stable to potentially even higher, given some of the pressures that you’re highlighting on ADRs? Anything on occupancy next year would be helpful.
Jamie Cohen: Yes. I think as I’ve mentioned, we look at these 2 variables in concert with one another. You could drop your rate significantly and drive very high occupancy, but that’s not necessarily the optimal outcome for the owners or vice versa, right, where you have rates really, really high and low occupancy. So, we’re always trying to strike that balance. This year, obviously, skewed more towards ADR, and we talked about that, obviously, those have been on the higher front, and we are starting to see a little bit of pressure on the occupancy side. Where that ultimately nets out, it’s tough to say. But I think you’re right in hearing that if we do see ADR pressure and that coming down, I think that you will see occupancy benefit from that. And again, just because those 2 things kind of are working in concert with one another and that is the job of our revenue management team and our algorithms to keep maximizing our homeowner income.
Lee Horowitz: Great. And then maybe one more on cost. In terms of the initiatives you’re taking to rightsize your field operations costs. How should we be thinking about the timeline to achieving these goals, particularly in an environment where ADR declines next year could actually create some natural deleverage and support costs?
Jamie Cohen: Yes. We are actively working on these issues. As we’ve mentioned, these are fixable. These initiatives are in place, they’re just taking a little bit longer to manifest, but we do expect that we will have some of these benefits as we go into 2023 and building from there. So, the initiatives really, again, were kind of how we manage our local labor in local markets, how we can drive efficiencies in specific tasks, housekeeping or laundry, for example and then again, optimizing the hours or team members that we need to be staffed against units or reservations. So, there’s a number of things that we’re doing from technology to process changes that we’re putting into place, learned a lot this year about kind of what it takes to get those initiatives rolled out and we do need a little bit of supporting technology and process work that is underway.
Operator: There are no further questions at this time. Mr. Rob Greyber, I turn the call back over to you.
Rob Greyber: Thank you very much. Just before we close, I wanted to add that we are tracking Tropical Storm Nicole, which is impacting Florida right now. Our operations teams are monitoring the situation closely. We’ll be ready to support our owners and our guests, and our communities in the Southeast in the coming days. And as we’re wrapping up, I’d like to thank the Vacasa Board for the opportunity to lead. I’m really honored to have the chance to serve as CEO of an industry-leading business that still has so much potential ahead of it. Next, I’d like to again welcome Rachel Gonzalez as a Board observer. We’re lucky and thrilled to have her on our team. And finally, maybe most importantly, I want to thank our homeowners and employees. To our homeowners, we appreciate you trusting us with your second home. It’s a responsibility we don’t take lightly. And to our employees, thank you for the hard work facilitating and servicing over 2 million nights sold during the third quarter. It wasn’t an easy task, and I look forward to meeting you and spending more time with more of you in the quarters to come. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.